Operator: Good morning and welcome to the ParkOhio Second Quarter 2023 Results Conference Call. [Operator Instructions] Before we get started, I want to remind everyone that certain statements made today on today’s call may be forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those projected. A list of relevant risks and uncertainties may be found in the company’s earnings press release as well as in the company’s 2022 10-K, which was filed on March 16, 2023, with the SEC. Additionally, the company may discuss adjusted EPS, adjusted operating income and EBITDA as defined on a continuing operation or consolidated basis. These metrics are not measures of performance under generally accepted accounting principles. For a reconciliation of EPS to adjusted EPS, operating income to adjusted operating income and net income attributable to ParkOhio common shareholders to EBITDA as defined please refer to the company’s recent earnings release. I will now turn the conference over to Mr. Matthew Crawford, Chairman, President and CEO. Please proceed, Mr. Crawford.
Matthew Crawford: Good morning and welcome to our second quarter 2023 conference call. Pat Fogarty, our Chief Financial Officer, has joined me here this morning as usual. I want to touch on three things this morning before I turn the call over to Pat to discuss the details of the quarter. First, ParkOhio achieved record revenue in the recent quarter. This is an important milestone as we strive to meet our goal of $2 billion in annual revenue, but also makes important points about 2023. Our philosophy of building our business on long-term partnerships has benefited us meaningfully. Many of our key relationships date back decades and I often repeat the story that one of our best relationships dates back to a highly engineered product we have been selling to a customer for almost 100 years. Servicing these customers has been difficult and expensive recently, but we emerge as a stronger family of companies. Our record sales also are the result of tremendous effort in overcoming labor and supply chain challenges, which are stabilizing, but still are requiring tremendous daily effort from our team to overcome. Thank you to those on our team who are rising to the challenge every day. Lastly, like all businesses, we have worked tirelessly to address the inflationary environment and want to thank many of our customers who have supported price increases when absolutely required. We appreciate your business and support and are here to help you succeed. Secondly, our recovery in gross margin to 16.4% or up 190 basis points is still below our long-term expectation – expectations, but is a significant step forward. As discussed on every call recently, we have undergone significant restructuring beginning in 2019, which has affected every corner of our business and lowered our cost to serve our current customers as well as positioning us to achieve our new business goals. Additionally, we are beginning to see the benefit of significant CapEx spend in recent years to support our most promising businesses. These opportunities for continuous improvement will continue to benefit our profits incrementally. Lastly, we have moved up our 2023 revenue guidance to an increase over 2022 of between 10% and 15%. That implies some deceleration from the first half, but still near record performance. The second half is buoyed by continuing, but slowing customer restocking in some end markets combined with backlogs remaining strong across much of the business and particularly in engineered products. In addition, new business opportunities continue to be robust. As mentioned on our prior call, we see these not only as short-term trends, but also as promising long-term as our country invests in manufacturing, both privately and through government stimulus. Ongoing recovery and growth in aerospace, defense, semiconductor, rail, advanced steel and EV and energy, both oil and gas and renewable will lead the way and are important end markets for us. Now I will turn the call over to Pat.
Pat Fogarty: Thank you, Matt. Our second quarter results reflect continued improvement in sales, gross margins and operating income, both year-over-year and sequentially across most parts of our business. Once again, this quarter we achieved record consolidated sales from continuing operations. Our sales in the quarter resulted from strong customer demand in each of our three business segments, increased product pricing and the benefit of the sales from acquisitions made last year. Year-over-year sales growth was seen in each business unit within each of our three business segments across a very diverse global customer base. Our consolidated net sales from continuing operations were $428 million, up 16% compared to $370 million in the second quarter of last year. And for the first half of this year, our sales have increased $124 million year-over-year, representing a 17% growth rate. We estimate that approximately 50% of our growth was volume-driven and the remainder was driven by material and value-added price increases implemented across each business. Based on our record revenues in the first half of this year, continued strong backlogs across each business segment and expected continued strong demand in most of our end markets throughout the second half of the year, we have increased our full year sales growth outlook from 10% to 15%, up from our previous announced guidance of 5% to 10%. In addition to the strong sales quarter, we were pleased with our gross profit margins from continuing operations, which improved to 16.4%, up 190 basis points from 14.5% in the second quarter of last year. The 16.4% gross margin is our highest gross margin percentage since the fourth quarter of 2019. SG&A expenses were up $6 million year-over-year and similar to first-quarter levels, primarily due to SG&A from our 2022 acquisitions, higher sales levels and increased personnel costs. As a percentage of sales, SG&A was 10.9% compared to 11% in last year’s quarter. Consolidated operating income from continuing operations was $19.2 million compared to $13.8 million a year ago. On an adjusted basis, which excludes restructuring and other one-time charges, operating income totaled $23.3 million and was up 77% compared to the second quarter of last year and 6% sequentially compared to the first quarter. Most notably adjusted operating income margins in our industrial equipment business were approximately 10% in the second quarter, an improvement of 240 basis points compared to the first quarter. Also, adjusted operating margins in our supply chain business and assembly components businesses showed significant improvement compared to the first quarter and were up 70 basis points and 140 basis points respectively. Our second quarter improved operating margins reflect the positive impact from the restructuring and the consolidation actions taken in prior periods from price actions implemented and from operational improvement initiatives across our businesses. Interest expense was $11.1 million in the quarter compared to $7.6 million a year ago. Of the $3.5 million a year-over-year increase, $2.9 million was driven by higher interest rates with the remainder due to higher average borrowings year-over-year. Income tax expense was $2.1 million in the quarter for an effective income tax rate of 24%. This is in line with our expectations for the full year 2023. GAAP EPS from continuing operations for the quarter was $0.57 per diluted share compared to $0.52 in the second quarter of last year. On an adjusted basis, diluted earnings per share, was $0.83 per share in the second quarter, compared to $0.49 per share last year, an increase of 69%. On a sequential basis compared to last quarter’s $0.72 per share, adjusted earnings per share was up 15%. Our EBITDA from continuing operations as defined was $35.7 million in the second quarter compared to $26.1 million a year ago, an increase of 37% and up 13% sequentially. On a year-to-date basis, EBITDA from continuing operations was $67 million, an increase of 42% compared to $47 million a year ago. During the second quarter, we generated approximately $1 million of operating cash flows up significantly from a use of $33 million in the second quarter of last year. On a year-to-date basis, our free cash flow was a use of $12 million. During the first 6 months of the year, we have made significant progress in reducing our net working capital days and are seeing the benefits across most of our businesses. As a result, we continue to expect free cash flow for the full year to be in the range of $30 million to $40 million. Our liquidity continued to be strong at the end of the second quarter and totaled $169 million, which consisted of $53 million of cash on hand and $116 million of unused borrowing capacity under our various banking arrangements, which included $24 million of suppressed availability. Turning now to our segment results and supply technologies. Net sales were a record $197 million during the quarter, up 12% compared to $176 million a year ago. On a year-to-date basis, sales in this segment have grown 14% to a record $393 million. Average daily sales in our supply chain business were up 11% year-over-year. The sales increase was driven by higher customer demand in most key end markets. Customer price increases realized in the sales from the acquisition of Southern Fasteners, which was completed in August of last year. During the quarter, the largest end-market increases were power sports, heavy-duty truck, industrial and agricultural equipment and civilian aerospace. The few end markets, which declined year-over-year, were isolated in certain consumer-related end markets, which represent approximately 10% of segment revenues. In addition, our fastener manufacturing business continues to perform well and achieved sales growth of 20% over the second quarter of last year, driven by higher customer demand for our proprietary self-piercing clinch products as well as last year’s acquisition of Charter Automotive. Operating income in this segment totaled approximately $15.4 million, compared to $12.7 million a year ago, an increase of 21%. Operating margins were up 60 basis points year-over-year as the profit flow-through from higher sales levels was partially offset by higher operating costs. Our focus on price action strategies and initiatives to grow our higher-margin industrial supply business is reflected in our improved results in this segment. We expect this segment of our business to continue to perform well throughout the second half of the year and strong demand will continue across a wide range of end markets and customers. Despite the strong demand expected for the rest of the year, we do expect the second half rate of growth to be lower than our first half growth levels, primarily due to customer plant shutdowns, which are typical during the second half of the year and continued softness year-over-year in certain consumer-related end markets. In our Assembly Components segment, sales for the quarter were a record $112 million compared to $95 million a year ago, an increase of 17% year-over-year. Sales from each of our product categories, which include our molded and extruded rubber and plastic products as well as our fuel-related products, grew significantly year-over-year and sequentially compared to the first quarter as a result of business launched in the last year and increased customer pricing realized during the quarter. Segment operating income increased significantly to $8.4 million in the second quarter compared to a loss of $1.4 million a year ago. On an adjusted basis, operating income was $9.6 million in the current year quarter and on a year-to-date basis, operating income has improved $18 million year-over-year. The significant increase in margins year-over-year has been driven primarily by lower operating costs resulting from our plant consolidation activities and increased customer pricing. With respect to our aluminum business, which has historically been included in this segment, the sales process is ongoing. During the second quarter, the net loss incurred from this business was $1.7 million net of tax and EBITDA was a loss of $1.6 million in the quarter. We continue to believe the automotive OEMs initiatives around lightweighting, electrification and onshoring certain products for key auto platforms will benefit this business over the long-term. Moving now to our Engineered Products segment. Sales in the second quarter were a near-recorded $119 million, up 20% compared to $99 million a year ago, driven by strong customer demand in both our capital equipment business and our forged and machine products business. In our capital equipment business, sales of new equipment and aftermarket parts and services were both up 27% compared to a year ago. Revenues increased again this quarter in every region as our strong backlogs are being converted into sales. Induction heating and melting bookings remain strong and totaled $51 million in the quarter compared to a quarterly average of $50 million last year and $52 million in the first quarter. Our backlog as of June 30 was $170 million, an increase of 4% compared to the end of last year. In our forged and machine products business sales in the quarter were up 5%, driven by increasing customer demand in several key end markets, including rail and aerospace and defense as well as from new business awarded over the past several quarters. During the quarter, operating income in this segment was $3.2 million compared to $7.1 million a year ago. On an adjusted basis, which excludes plant consolidation and other restructuring actions, operating income was $6.1 million compared to $7.9 million last year. The lower profitability in the second quarter was driven by operating losses in our forging business, which more than offset strong results in our capital equipment business. In the capital equipment business, as I mentioned, operating income margins were approximately 10% and were at the highest level since 2018 and 2019. In our forging business, equipment downtime and continued labor challenges impacted our results in the quarter. We have taken action to resolve the equipment downtime which occurred in our forging plant in Arkansas and are seeing improved labor efficiencies in our Can Ohio facility as sales ramp-up, as part of the integration of our Crop Forge business. On a year-to-date basis, sales in this segment were $236 million, an increase of 25% year-over-year and adjusted operating income was $13 million compared to $10 million last year-to-date, and which reflects a 30% improvement in this segment year-over-year. We continue to quote new capital equipment opportunities and win new business to support the increased production of electrical steel used in battery technologies and certain munitions used in the defense end-market. During the second quarter, we received over $50 million in induction-related and forging press equipment orders directly related to these market trends and believe this part of our business will continue to benefit. And finally, with respect to our full year sales guidance, we are increasing our sales growth outlook to 10% to 15%, driven by the current strong customer demand in each segment. We also continue to expect year-over-year improvement in adjusted operating income, EBITDA as defined free cash flow and adjusted EPS as a result of higher sales levels and improved operating margins in each segment. Now I will turn the call back over to Matt.
Matthew Crawford: Great. Thank you very much, Pat. We will now open the line for questions.
Operator: [Operator Instructions] Our first question is coming from Steve Barger from KeyBanc Capital Markets. Your line is now live.
Steve Barger: Hey. Thanks. Good morning.
Matthew Crawford: Good morning Steve.
Steve Barger: With this nice updated sales guidance, if margins hold up, then two half earnings are going to be nicely above first half it looks like, which has not been the pattern for the past couple of years. So first, is that how you are thinking about it? And second, how much of that is the profit improvement program versus just volume-driven absorption if you can break that apart?
Pat Fogarty: Steve, good morning, this is Pat. I think this second half, although we see some volume declines relative to the first half growth rate levels, we are going to see improvement primarily in our forging business. I think margins in most of our other business will remain intact compared to first half levels. Most of the improvement that we are going to see in margins as we move not only into the second half of the year, but into next year, is really going to result from the improvements in flow-through and absorption that will result from all the consolidation and all the heavy lifting that’s been done over the last year. As we mentioned in the first quarter call, we consolidated over six facilities, almost a 100,000 square foot of manufacturing space. This will provide the opportunity to get better flow-through and better absorption rates and therefore increase our gross margins.
Steve Barger: Yes, understood. I got it. So, it sounds like if you see – I know you don’t want to guide ‘24, but it sounds like if things remain where they are, at these levels from a revenue standpoint, that you are kind of at the sustainable run rates given the profit improvement programs you have put in place?
Pat Fogarty: No. As Matt mentioned in his opening comments that we are – we are pleased with the 16.4% gross margin, but believe there is upside because we haven’t fully realized the benefit of all the consolidation activities as well as some of the capital investments that we have made to improve margins.
Matthew Crawford: Steve, this is Matt. I would only add to Pat’s comments by saying that we saw a nice bump here. Our long-term, even our mid-term goals are to improve upon that. We think there is some opportunity for improvements around the investments we have made, both continuous and restructuring. We have seen a big bump from those things, but we continue to operate in a pretty choppy environment. So, supply chain constraints, particularly in our equipment business, labor constraints across the board, these are not gone. So, we tend to quarter-to-quarter try to be awfully careful what momentum looks like. So, while we are really pleased with the direction of the second quarter and believe there is gas in the tank across the board and also in mix as we see some recovery in the forged business in particular, managing a three-month, four-month, five-month outlook is pretty difficult in this environment.
Steve Barger: Understood. Can we talk about capacity? I mean 2023 is going to be record revenue. I know you have done these consolidations that you have talked about but made investments as well. Where are you on plant utilization in general and which businesses, if any, are kind of up against capacity and could require further investment?
Matthew Crawford: Yes. It’s a great question and one we don’t talk probably often enough about. We talk a lot about the restructuring, we talk a lot about the almost 1 million square feet we closed, moved, touched in many ways. We don’t talk often as much about the cost of that and I don’t just mean in terms of the actual costs, I mean the cost of retraining, higher scrap rates, etcetera. Onboarding turnover, I could go on and on. So, our capacity constraints, the restructuring has enhanced our long-term profile around profitability and our ability to compete hard stop. In the current environment, we have seen some challenges, as Pat mentioned in his comments, the Forge Group is Exhibit A. We are very excited about what was done there. Had we not made some of the moves we did, we probably would be getting more products out and making less money. So, we have had some trade-offs here. We have facilitated and built and grown and invested in some new areas of excellence, centers of excellence in our automotive business. We are absolutely world-class. We have closed or downsized a couple of plants that were high-cost. We have a very exciting future. I can only tell you onboarding 1,000 people, training them, getting them to come to work, get them come back to work, is expensive in premium freight and scrap. So, I would tell you that I don’t believe we have structural capacity issues. I think we have got ongoing capacity issues around. I was going to promise not to say COVID on this call, but the legacy of COVID, the loss of really good people, the turnover – continuing turnover at the direct labor level. So, that I believe is really what our bottleneck is on capacity and we try to get better at it every day and I can assure you the kinds of things that our management teams focus on every day is inside out. How we can make our warehouses and supply tech more efficient, right. How we can make – how we can resolve some of the issues we have on technical labor and a number of the businesses. So, I – we don’t have – we could sell a lot more stuff in any period we have this year with the backlogs we have, and we could sell for that. So, we do have capacity constraints, particularly in engineered products. I would highlight, we got some supply chain constraints, although they are lessening in supply tech. we have got some – so we have got constraints, but we are working through them and I view those as 2023 issues, hopefully not 2024 issues, but we will see.
Steve Barger: Great. And I will ask one more on Engineered Products. Near record revenue margins still mid-single digit. What percentage of that portfolio is structurally not profitable or let’s just say significantly lower margin? And what – would you consider divestitures to kind of upgrade that segment margin overall?
Matthew Crawford: I will give Pat a minute to think and say the following. Steve, you know this company well, Engineered Products has been, should be and will be again our highest margin business of led by their commitment – strategic commitment to aftermarket. So, that is – has been in the cards, will be again, so that is a mix positive for us as we improve a number of things we just talked about and benefit from the restructuring. So, I would say that I would also say we are fully committed to those businesses we love, as you know, the induction heating business. We love where we are in the Forge business. We have invested in that second line down in Arkansas. We have invested in and consolidated, creating a center of excellence on large forgings and hammer operations in Canton. No, we have made some commitments here and some bets and as goes the margins in that segment will go our consolidated margins. So, that’s part of the mix story where we see upside.
Steve Barger: Got it, Okay. Thanks. Yes.
Pat Fogarty: No, my only comment, Steve, is I fully agree with what Matt said, but keep in mind the quarterly results of the losses in the forging business were isolated in the two plants in Arkansas. The downtime was a result of a very unusual, infrequent breakdown which has been fixed and on the Kansas side, we are – we consolidated crop forge in the Kan and there are startup costs associated with it. The long-term outlook for both businesses is fantastic and we are going to see it through because our investment was in a short-term investment. It was clearly a long-term strategic investment that will pay dividends over the next 3 years to 5 years. So, we are excited about that business.
Steve Barger: That sounds good. Okay. Thanks.
Operator: Next question today is coming from Yilma Abebe from JPMorgan. Your line is now live.
Yilma Abebe: Thank you and just one question from me, maybe good morning. One, on capital allocation, perhaps, if you can remind us, I mean you are generating – you are going to generate $30 million to $40 million of free cash flow this year, if things trend as expected, that should grow next year. How do you think about capital allocation?
Matthew Crawford: I think you were kind enough to invite us to your conference and I spoke about I think a change how we think about prioritizing allocation of capital and the absolute – I like to say first horse at the trough is providing capital internally to our best businesses, providing capital to our best managers and helping them succeed in what we call value drivers. You can call it continuous improvement, highlighting investments that we believe will not only pay-off in the short-term with good ROIs, but that is second to how it enhances the strategic profile and competitive profile of the business long-term. So, we have created and invested in some super things this year that incidentally have good returns on investment, but only as a byproduct of really enhancing our competitive positioning. So, that is number one. We have used the opportunity of COVID and slowing down on the deal side to think about the business inside out, to think about our organization, to think about hiring great people. I have mentioned that a lot on prior calls and we continue to make traction on that front. So, I will begin by saying that’s number one. So, I will pause there and maybe let Pat continue with that. But that’s first at the trough. And by the way, I would want to stop a note, the pending sale of General Aluminum. General Aluminum is a wonderful business, but it does change our capital expense profile. So, as you think about the business, Yilma, understand that as a pro-rata amount of sales, General Aluminum has always been a little bit more expensive, as has our forging business and others. It’s not our only capital-intensive business, but it’s one of them. So, we would anticipate, I think improvements in CapEx, but again, identifying and continuing to invest in some of our best products and businesses.
Pat Fogarty: I would agree with what Matt said. I think the goal for the second half of the year is when we enter into 2024, is the deleverage the balance sheet. That will happen based on how we currently view the second half. We believe that a net debt leverage ratio below 4 is very achievable over the next 1.5 years, but that will not sacrifice the investments that we will make in high-return projects across the board.
Yilma Abebe: I guess maybe to that point. In terms of the deleveraging path, are you expecting an absolute debt pay-down or is the deleveraging path mostly driven by EBITDA growth?
Pat Fogarty: It will be a combination as always. But as we look at the short-term, meaning the second half of the year, it will result in a pay-down of the debt of our revolving credit agreement.
Matthew Crawford: Yilma, it’s important to note to us and I know that we have had some pressure on cash flows again in the first half of this year. But the business, if I include for the moment GAMCO, the business from the bottom of the business cycle, which I think during COVID was about $1.3 billion to where we are today, which is a run rate of 1.9%, that’s $600 million of incremental revenue that we have added since the trough a couple of hundred million dollars above our all-time revenue records. So, whether it would be some of the investments we talked about relative to our best products and businesses or whether it would be about just funding the growth in the business, that’s where we have seen some pressure. So, we think – truly think that that hump as sales moderate for better or worse, right. As sales growth moderates – excuse me, and we can harvest some of the working capital. We are on the back side of that as we speak today. So, we do anticipate a nice glide path on the pay-down side. And you have seen the progress we are making on the EBITDA side, so both.
Yilma Abebe: Thanks very much. That’s all I had.
Operator: Thank you. Next question is coming from Dave Storms from Stonegate. Your line is now live.
Dave Storms: Good morning.
Matthew Crawford: Good morning Dave.
Dave Storms: We are just hoping to touch on the backlog real quick. It still seems like it’s really strong. Could you break that down on if that’s a product of new client acquisitions, current clients, just taking on more volume as demand remains strong? Is that a byproduct of all the restructuring and maybe some downtime in productivity? Any guidance there would be great.
Matthew Crawford: I will comment sort of generally, as you know, Dave, we think about our company in terms of our business units. I would say generally backlog is a difficult term in supply technologies because we are just in time. I mean we are managing demand by the ships, by the day, by the week. So, demand is there are – that’s less of a backlog-driven business. Our demand picture there again I think would be consistent with how we have talked about our overall business. I think restocking is still supporting and buoying some opportunity for strong demand in supply tech. But that’s moderating. I mean that is – has improved I think from a customer perspective, not across the board, but in many cases. So, that will be less of a tailwind going forward. But again, new business opportunities, etcetera, some strong end markets that continue to be strong. Again, we are in some places that continue to do well. Many of those are related to infrastructure. Maybe those are related to the kinds of markets like semiconductor and so forth that have been buoyed by recent spending and stimulus. In automotive, a lot of activity in the EV space. So – and also I think from a production standpoint continues to be some restocking. I don’t know that you hear a lot about the OEMs not wanting to return to where they have, but the types of days of inventory they have had historically. But one thing they do need to do is get the breadth of product back on those lots. Those of us that follow the industry know that they have spent a lot of time and energy building their most profitable units during COVID and I think now you are seeing a much better breadth of product, which is good for us, it’s good for margins, it’s good for operations. It’s the way these programs were sold and tooled up by suppliers like us. Lastly, I would speak to the Engineered Products group, that truly is where Pat addressed very robust backlogs in the capital equipment business and those are near record highs and continue to be and those are firm orders and of course, you ask the question as it relates to new business. Well, those – that’s all new business because for better or worse, you sort of start with the order book after you ship something, yet you start with zero revenue and trying to get the next job. So, that gives us a really good sense of the next 12 months to 18 months in terms of what we are seeing out there and that continues to be very strong. And again, I think that’s the business that is largely impacted not only by some of the supply and labor constraints. So, as those clear up, we will benefit a little more in clearing some of that backlog, but also benefits I think again, I mean we are seeing discrete orders in defense and EV and in green energy. Again, not – I talked in past calls about these megatrends. I can’t – we can’t always connect the dots to where the governments write the check, but we know these are all areas of interest steelmaking, advanced steelmaking a real priority, I think both on the private and public side here in the U.S. So, those are not – those are significant buoyies [ph] to the long-term potential. Breaking that – those are all new, because once you ship something, it’s new. But does that help at all?
Dave Storms: That’s incredibly helpful. Thank you. One more, if I could, just you mentioned pricing being a great tailwind for you. I know in the past you have mentioned that you kind of won the last segments that gets to raise pricing. How do you see that going forward just with inflation moderating? Do you think there is still the ability to push pricing or do you think you are at a fair level with your customers? And we should expect that to moderate going forward?
Matthew Crawford: Yes, that’s a good question. It has been – I mentioned in my opening comments, I thanked many of our customers who have supported us. We are a vital supplier to all of our customers. Much of our business is sole source. We were the shock-absorber during the downturn. I mean we lost tens of millions of dollars on contracts that were not set up for what happened during COVID. We are not set up for lack of labor. We are not set up for – in fact, many of the contracts had productivity and cost downs. So, we spent millions to try and support our customers because that’s the kind of business we run. We have – we have been asking for help and we have received a lot of help, but let me remind ourselves that we are still operating well in the middle single-digits of EBITDA margins. So, we have continued to have our work cut out for us to get paid for what we do. Having said that, we are very appreciative of the support we have gotten from certain customers. We also believe that we come out of this as the best-positioned supplier they have. We believe our restructuring and our continuous improvement, our investments make us the choice going forward. As I am apt to say a lot, a customer – a good customer doesn’t give you a price increase, particularly if they don’t have to because of what you did for them last year, they give it to you for what you are going to do for them next year. So, we want to be a great partner to these people and those that have helped us when we needed it just to achieve modest profitability and that’s really where we are. It’s appreciative and we are going to certainly reward them and hope to continue to build on our, again, sometimes 100-year relationships. So – but no, I think that you raised some good points. Commodities in some cases have rolled over. So, that’s been a tailwind. We continue to focus on finding prices. I think the crisis management phase of managing commercial side of the business is coming to an end. But clearly, we are going to have to address that and I think we have got the team, I think we have got the operations and we have got the supply chain to manage those requests.
Dave Storms: That’s very helpful. Thank you for taking my questions and progress in the quarter.
Matthew Crawford: Thank you very much.
Operator: Thank you. We have reached the end of our question-and-answer session. I would like to turn the floor back over to management for any further closing comments.
Matthew Crawford: Great. Thank you for the great questions. Thank you for the support. We have a lot of work to do. But we do think we have made some real progress here. And again, I can only leave by saying that we are a vastly better business organizationally and product-wise and business-wise than we have been in a long time. So, it’s as I compare ourselves not just to the past couple of years, but to pre-COVID. So, thank you to everybody who has done an endless amount of work and thank you again to our customers and suppliers. Have a great day.
Operator: Thank you. That does conclude today’s teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.